Operator: Good day and welcome to Fourth Quarter 2014 Year-End Results Announcements Conference Call. At this moment, I would like to turn the conference over to Nihat Narin, Director of Investor Relations. Please go ahead.
Nihat Narin: Thank you, Teresa. Well thank you for you all. Thank you for your participation today. I would like to say welcome to our call on behalf of the management team here. We will start today with the presentation by our CEO, İlker Kuruöz followed by presentation by CFO, Murat. And then of course we will have a Q&A session. Just before we start presentation, I would like to go over the brief notice we have. Please remember that this presentation may contain future statements that are forward-looking. And these statements are based on current expectations and assumptions that are subject to risk and uncertainties which may cause actual results to differ materially due to factors discussed in this presentation. Please also note that all financial data are consolidation. Please İlker Kuruöz.
İlker Kuruöz: Good morning and good afternoon everyone this is İlker Kuruöz acting CEO of Turkcell. As you may all know Mr. Süreyya Ciliv recently announced his resignation from the Turkcell family. Süreyya has been one of the key figures in Turkcell's history having led its transformation to a leading regional communication technology company. We grateful for his contributions to both company and the industry. As he repeated the remarks Turkcell Turkish comes from executing its solid strategy with an excellent team spirit yet the same team remains committed to working effectively in what will no doubt be an exciting future. Having been appointed acting CEO by our Board I would like to emphasize that I will maintain Turkcell's open dialogue with our investor and analyst community. On such occasion I am pleased to be here today together with my colleagues to present our fourth quarter and full year results. In 2014 our group revenues grew by 6% to TRY12 billion. While we recorded EBITDA of TRY3.8 billion on 6% year-on-year growth thus meeting our guidance. Our EBITDA margin reached to 31.2% while net income fell 20% to TRY1.9 billion. This was primarily due to fourth quarter net income platform adversely impacted macroeconomic instability in our countries of operation. For the quarter, we recorded TRY303 million loss mainly arising from devaluation of the Hryvnia and Belarusian Ruble, and TRY118 million impairment charge from BeST and Fintur. Given the continued fluctuation in these currencies, we may incur further foreign currency losses in the first quarter of 2015. Our core business Turkcell Turkey recorded 3% growth both at the top-line and EBITDA level on the back of strong demand for mobile data. Excluding the MTR impact Turkcell Turkey's revenue growth would have been 5%. Meanwhile, the EBITDA margin slightly improved to 31.2% on a full year basis. Our fiber broadband business Turkcell Superonline sustained its strong performance on 35% revenue growth and 38% EBITDA growth year-on-year while EBIT rose remarkably by 63%. With a 97% yearly currency depreciation Ukraine, Astelit revenue and EBITDA contracted by 12% in Turkish lira terms. While the company kept its EBITDA margin at 30.6%. Now I will talk about the performance of our main business segments. Mobile broadband sustained its growth momentum climbing 44% year-on-year on rising smartphone penetration. Growth in data usage and higher data consumption mobile service revenue rose 21% year-on-year with a more focused approach. Despite regulatory challenges imposed on us voice revenue rose 1%. However, they slightly decreased for the full year due to the MTR effect. Other subsidiaries pace of growth decelerated due to the reduced contribution of international subsidiaries. Overall mobile and fiber broadband have remained the key growth drivers both for this year and for the full year. The mobile market remains competitive throughout the year. The competition opted for price oriented offers over service quality. Moreover, the market has shifted towards increased data incentive bundled offers. The upward price adjustments in some offered in early Q4 2015 did not led to significant improvement in overall competition. Accordingly, our total customer base declined by approximately 0.5 million from the price sensitive prepaid segment and ending at 34.6 million. Meanwhile, our value proposition continued attract high value postpaid subscribers which resulted in 2.1 million net additions for 2014, of which 401,000 were in this quarter. The postpaid base generated 70% of Turkcell Turkey's revenues with a 3 percent-ish point increase year-on-year. As a result, the favorable change in subscriber mix along with higher demand for mobile data have helped blended ARPU rise by 4.4% yearly. The growth momentum of smartphones in the market which underpins data consumption has continued. Our attractive contracted offers and success of our affordable T-branded smartphones has led to 3.1 million annual additions to our smartphone base, which rose to 12.7 million. Smartphone penetration reaching 40% led to a 34% rise in mobile broadband revenues for the full year. Thus non-voice revenues reached 32% of our mobile revenues in Turkey. On the other hand, messaging revenues fell by 20% year-on-year reflecting the global trend. This is coupled with the 20% decrease in the SMS ceiling price. Turkcell Superonline, the major growth engine of our group maintained its remarkable financial and operational performance. Over the past four years Turkcell Superonline's standalone financial strength has solidified as its revenues doubled on faster profitability growth. We continued to work on building scale resulting in a 8 percent-ish point rise in subscriber market share over the period through a net increase of 165,000 fiber customers in 2014, 50,000 of which were added in the fourth quarter. Turkcell Superonline has become the fiber market leader. In-city coverage rose to 2.1 million homes with a yearly increase of 380,000. Having invested over TRY2 billion to-date we remain committed to advancing our fiber business which underpins our high quality network and delivery of superior product and services. In fact the recently launched ground breaking TV platform Turkcell TV+ has elevated Turkcell Superonline's service offerings for triple play. This is expected to boost customer royalty and subscription. Moreover, the arrival of new 4G era will bring additional synergies between our mobile and fiber businesses and strengthen Turkcell Superonline's already successful business model. Ukraine has been facing political tensions since early 2014. In Crimea, which constituted 3% of Astelit's revenues in 2014 operations have been discontinued for reasons beyond its control and are unlikely to resume in the near future. Additionally, occasional network disruptions in the Donetsk and Luhansk regions have occurred. Despite these difficulties, Astelit has sustained its operation. Meanwhile the macroeconomic challenges remain; the devaluation of Hryvnia reached 97% for the full year resulting in a 2.7 price points decline in Astelit's revenue contribution to the group. In 2015, Hryvnia devaluation has exceeded [60%] year-to-date. Astelit's regional growth strategy and timely execution has resulted in a relatively better top-line performance. In the fourth quarter, it delivered 15% revenue growth in local currency terms. On the operational front Astelit's customer base continued to grow with 1.1 million yearly net additions, this expanded its market share which has climbed almost 4 percent-ish points over the past four years. Ukraine is awaiting the arrival of 3G technology which ultimately enable us to expand our quality offerings in compliance with the 3G tender conditions. Astelit paid tender guarantees for each three lots, UAH810 million in total on February 10, 2015. Thus overall we maintain our long-term view for our international subsidiaries despite continued regional difficulties. Looking ahead, we anticipate sustained profitable growth based on our strategic focus on superior customer experience, operational excellence and our productivity. Growth will stem for our fiber and mobile Internet businesses along with the delivery of new products and service. Accordingly, we target group revenues in the range of TRY12.8 billion to TRY13.1 billion and EBITDA in the range of TRY3.85 billion to TRY4.05 billion. We will increase our investment to prepare our mobile network for the 4G era, further expansion of the fiber network and roll-out of the 3G network in the Ukraine. Therefore, we expect an operational CapEx to sale ratio of around 20%. This ratio excludes spectrum fees for the 4G license in Turkey and the 3G license in Ukraine. Looking further ahead, we eagerly anticipate the exciting opportunities of the approaching 4G era which will determine the next decade of the mobile industry. Thank you. And now, I will hand over to Murat of CFO for the financial review. Murat, please.
Murat Doğan Erden: Thank you, Ilker. Good morning, good afternoon to all participants. I will now talk in more detail about our financial results. As highlighted in the fourth quarter, group revenues rose by 8% year-on-year to TRY3.1 million. The growth was with strong momentum in mobile and fiber broadband revenues. For the full year, the decline in Astelit's revenue contribution was offset by 12% growth in mobile and in services, while subsidiaries revenue grew by 17% mainly due to Turkcell Superonline. Let me move to Page 14; in the fourth quarter, EBITDA was recorded at TRY917 million while EBITDA margin increased slightly to 29.6%. This transformed the higher revenues and positive contribution of G&A expenses which were partially offset by higher direct cost of revenues. For the full year, consolidated EBITDA rose by 6% to TRY3.8 billion while the EBITDA margin was slightly up to 31.2%. In nominal terms at TRY636 million rise in revenues was partially offset by direct cost of revenues as well as S&M expenses. Let me move to Page number 15; in the fourth quarter, Turkcell Group net income fell 49% resulting in mainly from currency devaluation in Ukraine and Belarus, along with the impairment charges in international group companies and several one-offs. Excluding one-off items, group net income has been TRY390 million. In 2014, group net income fell 20% to TRY1.9 billion adversely impacted mainly by macroeconomic conditions in the international markets of operation. With that one-off item, group net income has been TRY2.1 billion. Let me move onto the final page, our financial position remains strong with TRY5.3 billion of net cash on our balance sheet. For the year, the major cash of flow items were primarily CapEx and corporate tax payment. Accordingly of total FX debt, 82% belongs to two international operations of the group meanwhile our FX cash balance is higher than our FX debt in turkey, which covers the currency risk for our local operations. Please note, in 2014, operational CapEx as a percentage of revenue was around 17% and 20% is expected for 2015 excluding new spectrum fees in Turkey and Ukraine related to 4G and 3G which we’re expected to be in auction this year. This brings our introductory presentation to an end. Thank you.
Nihat Narin: Hi, Teresa, I think that was the end of our presentation. Please take to lead before the Q&A session. Thank you.
Operator: Thank you. [Operator Instructions] We will now take our first question from San Dhillon from RBC. Please go ahead.
San Dhillon: Just a few questions, if I may, firstly in a 4G world do you believe the Turkish consumer will be a sensitive to price or will be more sensitive to the quality of that 4G proposition? And secondly on Superonline what level of homes passed will you get to by the end of 2015 following the investment next year? And finally, just a quick one on working capital outflows. They remain quite high. Do we expect 2015 to be a year where we can see those slow somewhat, or will they remain at the current levels? Thank you.
İlker Kuruöz: I think for the first question, Burak, could you comment on this, our Chief Consumer Officer.
Burak Sevilengül: Obviously 4G will be definitely a great opportunity for and for our customers to experience the high quality that we provide to our customers because we full create a lot of opportunity to even -- to further improve our service in terms of fast mobile internet. So I am sure the consumers will be appreciating that and they will act on that quality, but of course the price as any other product in the market will definitely be an important attribute too. So what we will try to do is to make sure that we provide a superior service to our customers at a reasonable price.
Murat Erkan: This is Murat Erkan, Turkcell Superonline General Manager. Actually, in year 2104 we add 380,000 home passed, to get 2.1 million home passed at the end of 2014. For the 2015 we would like that similar level of home pass and we like to reach around 2.5 million home pass.
Murat Doğan Erden: Hi, this is Murat. Regarding the third part of your question San, the working capital is likely to stabilize not in 2015 but mostly likely in 2016 with respect to the increase investment guidance that we have shared with you and plus the contracted sales which have been primarily on average 24 months. So your anticipation will be in 2016 to level off. Thank you.
Operator: We will now take our next question from Alex Kazbegi from Renaissance Capital. Please go ahead. Your line is open.
Alex Kazbegi : Yes, hi. I wanted to clarify on our guidance, please, two things. On your EBITDA guidance, which is basically guiding on a lower margin for 2015, I was just wondering. Again, you had the growth which you are looking at for 2015 which is basically high, mid-single digits. The inflation is clearly coming down. What would be the reason why you are so cautious on the EBITDA margin side, if you can maybe give us a bit of color here? Is it the Superonline or Ukraine maybe? But, both of them are actually fairly small contributions to the revenue so it would be great if you can clarify. And the second thing on the CapEx as well, I mean, basically as I can see it, if I look at your 20% of sales guidance, that’s an additional something about TRY500 million spent in [Technical Difficulty]
İlker Kuruöz: Alex? Teresa, I think we lost Alex Kazbegi. Could you connect him again or we can move on. Teresa?
Operator: It appears he stepped away. We will now take our next question from Herve Drouet from HSBC. Please go ahead. Your line is open.
Herve Drouet : Yes, hi. Two questions as well on my side, maybe just to follow up on Alex’s questions. On the CapEx, something I would like to check with you is the second part of the payment for this 3G license in Ukraine. Is it included in your CapEx to sales ratio of 20% you mentioned for 2015? My second question is on the revenue in terms of the growth profile in terms of the segment. Do you believe the mobile market in Turkey is going to continue to gradually rationalize a bit more in terms of the pricing? I mean, in Q4 it looks like there was big promotions. Do you think that can hold? And how do you see, with 4G coming, how the markets may hold? And finally, do you have any more specific information on the process for the 4G, especially on the auctions? Do you know more -- has it been disclosed more about what would be the exact process? Thank you.
İlker Kuruöz: Herve, thank you. Just a quick answer for your first question. License fee in Ukraine is not included to our guidance. And now I’m handing over to Burak to answer your second question.
Burak Sevilengül: We foresee the market to be competitive going forward in 2015 as well. We have seen some positive signs in Q4 ‘14 but it is hard to say that here to remain and that they will lead to a sustained rationalization in the market. So, we expect a competitive market in 2015 as well. Obviously 4G is a good opportunity to provide more value to our customers and monetize that. We will do our best to make sure that we monetize a better service to our customers but of course how the market will behave is not in our control so it will depend on how our competition will take position as well.
İlker Kuruöz: For the third question, the process for the 4G on the auction, still the regulator and the ministry is working on the process, and nothing has been clarified and declared to us so far. So we’re still waiting for that.
Operator: Thank you. [Operator Instructions] We will now take our next question from Ivan Kim from VTB Capital. Please go ahead. Your line is open.
Ivan Kim : Yes, good afternoon. Two questions from my side. Firstly on Superonline, in the fourth quarter there was a lower contribution from wholesale revenue. But, at the same time, the margins -- the EBITDA margin has remained pretty much flat year-on-year. I was just wondering why there was no improvement because wholesale revenues is a low margin revenue. And then secondly, just a follow up on the LTE frequencies. Do you know the amount of frequencies and which frequencies are going to be auctioned off? Is it 800 megahertz, 1,800 megahertz, 900? I mean, which spectrum? Thank you.
Murat Erkan: This is Murat Erden again Turkcell's Superonline's General Manager. First of all we see slight improvement on the EBITDA margin in Q4 but usually Q4 is quite interesting quarter for us we have a lot of one-time spending on our customer. So these one-time spending has also low margin business in terms of spending. And I would like to remind that we also launched TV business. So we had a lot of marketing launch expenses as well, so we're relatively okay in terms of margin.
İlker Kuruöz: For the LTE frequencies -- what we discussed with the regulator is that 800, 1800 and 2600 will be probably be in the auction.
Ivan Kim: And do you know whether operators would be able to get like two blocks of 5 megahertz in the 800s, or more or less? Thank you.
İlker Kuruöz: Nothing has been defined yet we're still waiting for that.
Operator: Thank you. We now have a follow-up question from Alex Kazbegi from Renaissance Capital. Please go ahead, your line is open.
Alex Kazbegi: Sorry, it's actually another follow up. I got completely disconnected so I don't even know whether you heard my first one. But, if I may repeat that, I was just talking about the EBITDA margin guidance which, as I said, I mean, it's a high single digit growth. Why, so to say, conservative guidance, if you wish? What's the reasons on that? The second question was on CapEx, saying that you have basically about TRY500 million additional earmarked for this year. And does that cover, so to say, pretty much, so to say, preparatory work for 4G? Do you expect this to continue, meaning the high levels of the CapEx to sales in next years, or this is basically, so to say, the bulk of it? And the last one, if I may also quickly, just on the Ukraine. You will have additional investment there, given again that the license will be auctioned there. Have you had also a consent from your partner there that they will do a capital contribution if it's necessary, or is it all, so to say, falling on your shoulders? Thank you.
Operator: We will now take our next question from Vera Sutedja from Erste Group. Please go ahead.
İlker Kuruöz: Teresa, please let Alex have an answer then we can go to the next question, please. Alex are you on the line.
Operator: No problem.
İlker Kuruöz: Alex Kazbegi?
Unidentified Company Representative: Just answer the question. He's probably…
Unidentified Company Representative: Are we having a second question on the row?
Alex Kazbegi: Hello do you hear me?
İlker Kuruöz: Alex are you on the line?
Alex Kazbegi: I am hearing you.
Unidentified Company Representative: Okay. Good. It's going to be very difficult to get into answering your question. First, regarding the EBITDA guidance why it is lower than the revenue growth. There are actually four -- three levels of answer for that one. First of all as we have clearly stated the subsidiaries contribution to the EBITDA level is less than their contribution the revenue. The second thing is the regulatory fees of the company increasing on the double-digit level versus the guidance that we have higher single-digit. So our direct cost of revenues has significantly affected by the regulatory fees. The third and the most important factor behind EBITDA guidance is two-fold related investment that we're proposing starting from 2014. As you might remember last year we closed the year with the 15% and then increased it to 17% which means towards the end of 2014 we have increased accelerated our investment then that's going to be meaning that the cumulative effect of our cost -- direct cost of revenues is going to increase, this is the first thing about cumulative effect. The second thing is we will also increase our guidance from 17% to 20% for 2015 which is going to be adding further stress to the direct cost of revenues about to the maintenance costs and the radio costs. These are the primary cost reasons which are the headwinds for our EBITDA margin. Second question about the CapEx, it is important for us to see how the 4G standard is going to be finalized about the spectrum requirements of the standard. For the time being, 4G depends onto the expansion plan might require that this leveling of the CapEx over sales might continue, we are anticipating to differentiate ourselves with our superior networks so keeping that into our mind for the time being I can just mention that we might continue with that CapEx over sales figures going on. Third question regarding the Ukraine additional investments, on that perspective we are maintaining our discussion internally Ukrainian broad level. For time being there is no detail that I can disclose with you at this time.
Operator: Thank you. [Operator Instructions] We will now take our next question from Vera Sutedja from Erste Bank. Please go ahead. Your line is open.
Vera Sutedja: Yes. Good evening, everybody. My question is related to the dividend. The AGM is already called. We're just probably wondering how much are you going to propose in terms of a dividend. Is there any dividend policy that you are going to propose with this? And if yes, when would you propose the size of the dividend? We will hear it before the AGM, or what's going to be the next step? Thank you.
Nihat Narin: Vera, hi, this is Nihat, Investor Relations, well, as we know that we did call our general assembly for March 26th and of course that call was taken by our Board of Directors and there is a number of agenda items since 2010 to 2014 and of course dividends are also included, but Board has not made any propose of course for the time being, but any agenda it’s in regarding dividend is subject to of course decision of general assembly and therefore today there is no anything that I can disclose on top of what we have already.
Vera Sutedja: And by when do you have to disclose the -- I mean, there is the agenda already in the invitation. So, there will be a second agenda before the AGM taking place with the dividend size?
Nihat Narin: Well, unfortunately, I cannot make further disclosure on that topic of course anything can be disclosed will be publically available through our web or any stock exchange discloser line, but nothing that I can comment right now.
Vera Sutedja: Okay and how about the dividend policy itself?
Nihat Narin: Dividend policy is already being taken, is being actually wired on Web site which is available that is still valid, but of course again as we said we have been having a difficult period since 10 due to our shareholder issues and that is partly related, as you said we’re progressing anything will be taken by our board will be disclosed publically, nothing on top of that right now. I do apologize for that.
Vera Sutedja: Yes. Just to remind me, the dividend policy is at the 50% payout ratio. Am I correct?
Nihat Narin: Our dividend policy is at least 50% but of course based on company’s free cash flow projections business plan, expectations and of course any other risk can be foreseen, that is always available on our website.
Operator: Thank you. We will take now our next question from Daria Fomina from Goldman Sachs. Please go ahead. Your line is open.
Daria Fomina: Yes, good evening. I have a follow up question to Alex's question earlier. You mentioned that the regulatory fee is increasing on a double digit level versus single digit you were expecting before. Can you please elaborate on that a little bit, why you were expecting a lower number and why it's faster growing than you were expecting? If you can give a bit more detail, that would be helpful. Thank you.
Murat Doğan Erden: Hi, Daria, this is Murat again. Just you give you a very specific example, last year moving from 2013 to 14, the regulator fees has been increased by an index and that index has been announced by the government about close to 4%, so we had the potential in 2014 that fee based has been increased by 4% that similar index has been revised and announced at 10%. So you imagine if you’re opening the new sites and for each site and each business, we pay a fee to the regulatory body and the index on yearly basis has been increased by an index and that index has been announced at a double digit. So there is clearly having an FX for us and that number has been multiplied by cumulative investments of the Company.
Operator: Thank you. That will conclude today’s question-and-answer session. I’d now like to turn the conference back over to speakers for any additional or closing remarks.
Nihat Narin: Thank you, Teresa. And of course thank you for all participation. Today is our end of session. Please do visit our website and of course our audio will be also available. Any questions for follow-up please get in touch with Turkcell Investor Relations that will be available at any time. So have a good and have a good night. Thank you.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.